Didier Michaud-Daniel: Good morning, good afternoon and good evening to everyone. Thank you for joining Bureau Veritas full year 2020 results on the webcast and on the call. François Chabas, our group CFO, is here with me to present our results. Beyond just talking about Bureau Veritas 2020 performance, which was delivered in a very complicated environment, I will share with you today how we see the group moving forward and give you an avant-première of one part of what we will present in detail at our Investor Day in Q4. Throughout 2020, Bureau Veritas operated on a crisis management footing. We have taken and continue to take every possible measure to ensure the health and safety of all our employees. We accompanied and helped our clients in managing their risk and in restarting their operations. Our Restart Your Business with BV program has proved vital for many of our clients. We took immediate measures to protect the financial solidity of the group, which have delivered record free cash flow generation and enabled us to come out of the crisis even stronger. I would like to take the opportunity to thank all our teams for their considerable efforts and dedication during these highly complex times. When we look at our full year performance, the impact of the pandemic is obviously significant, and the resilience and diversity of our portfolio has been of considerable benefit. Indeed, these results are in the higher end of the 3 scenarios we had for 2020. Revenue totaled €4.6 billion, down 6% organically and limited to minus 2% in the last quarter. Adjusted operating profit came in at €615 million. The decline was partially offset by the significant cost reduction measures we put in place. Cash generation was strong at €634 million, a record performance, reaching 13.8% revenue conversion rate. Our discipline and anticipation in cash management, together with our Move For Cash program, have delivered a major reduction of our working capital. We closed the year with much lower net debt and a reduced net debt-to-EBITDA ratio of 1.8x. Lessons are learned. This can be briefly summarized as follows: first, the work to diversify the group over the past 5 years has proved beneficial; second, we moved fast to identify all means to reduce our costs; third, we took initiatives to optimize cash generation by ensuring that we collect and protect cash to mitigate the impact of the revenue and margin shortfalls. This way, we further strengthened our balance sheet; fourth, the ability of Bureau Veritas to adapt and to innovate in a crisis to support both our employees and clients; lastly, we are ready for the new reality, however, putting more emphasis on hygiene and safety issues, transparency and sustainability with more recourse of digital tools, remote inspection, new ways of working and managing. We were already well advanced in this field, and we are accelerating even more. François will now walk us through the financial performance. François? 
François Chabas: Thank you, Didier. To start with the full year 2020 revenue, we posted a remarkably resilient revenue performance in the face of the COVID-19 shock, thanks to our portfolio diversification. 87% of the group’s revenue has shown a good level of resistance with Marine up 2.2% organically, suffering from very little disruption. And B&I, Industry, Certification and Agri-Food & Commodities altogether down 5.1% organically on average, with a minus 1.7% to 1% to minus 7.4% range. The remaining 13% made of Consumer Products was severely hit by the lockdown measures, the difficult situation in the U.S. and the multiplication of bankruptcies. I will come back to Consumer Products diversification in a minute.  Looking at our portfolio during the last quarter of 2020, we posted a resilient revenue performance. Nearly half of the group revenue was on a growth path in the fourth quarter. The 3 businesses, Marine & Offshore, B&I and Certification, were up 3.7% in average. This demonstrates the robustness of our portfolio and the quality of our mix. We are steadily recovering, as you can see on the right-hand side of the slide, with sequential improvement since the low points achieved in the second quarter of 2020. This recovery is not just a consequence of short-term catch up. We expect and are indeed already seeing an increased demand for sustainability-related services. During this crisis, as a CFO, my obsession has been to protect the gross margin and cash. Margin-wise, we took proactive cost reduction measures of around €260 million in 2020. This involved, among others, a 4% reduction in headcount, limiting SG&A spend to the strict minimum. For instance, we reduced our travel cost by more than €80 million in 2020, the furlough of some employees when appropriate in the first semester.  Cash-wise, we took several optimization measures, the strict CapEx control at 1.9% of revenue, focusing mainly on maintenance; very disciplined M&A with limited spend in 2020; increased suppliers payment control and reduced working capital over revenue to 6.1%, which is a record low, as mentioned by Didier. So this led us to deliver strong free cash and to reduce our net debt by €485 million versus last year, while our leverage ratio was reduced further to 1.8x.  Moving now to the revenue bridge on Page 12. We delivered €4.6 billion in full year 2020, with an overall decline of 9.8%. Organic decline reached 6%, including the negative impact of 15.6% in the second quarter due to the lockdown measures across many of our operations. The resilience, the diversity of our portfolio cushioned the business disruption resulting from the pandemic. The net scope effect was minus 0.4%, reflecting the impact of past and some more recent disposal. ForEx had a negative impact of 3.4%, mainly due to the depreciation of some emerging countries’ currencies and the USD and pegged currencies against the euro.  Turning to the revenue growth by business for the full year. Marine & Offshore performed very well, up 2.2% organically, with only a limited impact from the COVID-19 crisis, with the group continuing to deliver essential services to its clients. Then Agri-Food & Commodities, Building & Infrastructure, Certification and Industry showed overall a good level of resistance. B&I strongly outperformed the average with the decline limited to 1.7% for the full year, benefiting from the geographical diversification, the support from energy efficiency programs and improving market in the second half, notably in Europe.  Certification, down 6.2%, was affected by the postponement of audits during the first half, but recovered strongly in the second half. Industry declined 6.6% due to the drag in oil and gas activities and despite the solid business activity in the Power & Utility segment. In Agri-Food & Commodities, down 7.4%, a stable performance was achieved for both metal minerals and agri-food segment. Food safety services remain critical to food supplies, obviously. As expected, the oil and petrochemical business suffered from the lower demand for oil.  Finally, Consumer Products declined sharply due to the impact of the COVID-19 shutdown, down 15% organically. The business was severely affected by the lockdown in the first half of the year and by lower activity levels from the U.S. and European clients. In the last quarter, better trading conditions enabled us to slow the decline of organic revenue to minus 2%. Organically, already 3 out of the 6 businesses grew at plus 3.7% on average. Certification, just mentioned, top-performing business, growing by 10.7% in the last quarter, benefiting from a number of actions, Restart Your Business, SafeGuard solution, catch-up of audits, all playing their part.  Marine & Offshore confirmed its resilience in a challenging market at plus 0.3%. And Building & Infrastructure continued to improve, up 2.8%, thanks to improving trends in Europe and France notably. Three other business continued to face adverse conditions. Agri-Food & Commodities declined by 6.9%. Industry limited declined to 4.5%, benefiting from strong growth for the OpEx Power & Utilities business. And Consumer Products was down 8.1%. I would, however, highlight that there is a sequential improvement from the low point reached in the second quarter. Having now a focus on our Consumer Products division. We recognize that 2020 has been a challenging year. But also a year of deep transformation for a business that was historically overweight on the U.S.-China retail channel. I’m happy to confirm that after the first weak semester, margin in H2 is back to a healthy level of around 25%. So this is explained by, first, the fact we have delivered at record speed or plan to rationalize our network of laboratories in China.  Second, 2 segments have shown encouraging trend in the second semester, geographically, the operation in Southeast Asia. They continued to generate good growth, up mid-single digit. And on the service side, the technology testing activities and inspection have proven very resilient. Finally, we continue to diversify by increasing our exposure to the domestic market in China and to the connected devices market. Overall, by the end of 2020, we have progressed well towards repositioning the business onto markets, which are supported by powerful underlying trends.  Regarding our portfolio management. In 2020, we put, of course, acquisition largely on hold to reassess potential targets in light of the pandemic. So discussions have resumed on several projects during the second half. That’s why early 2021, we acquired the majority stake in Secura, specialized in cybersecurity services, 100 employees, revenue slightly below €10 million. It will be a cornerstone in the cybersecurity strategy of Bureau Veritas. And in February, we acquired a softline testing business, focusing on domestic brands and e-shops in China. In parallel, we completed the disposal of a noncore business unit from the Industry activity, industrial emission monitoring, based in the U.S. In addition, the operating footprint continued to be optimized with certain laboratories and offices facilities streamlined and reorganized in China, Europe and in the U.S. All in all, over the past 2 years, Bureau Veritas has divested around €65 million of revenue from activities having a negative impact on the group margin. Moving forward, we will continue to deploy a very selective bolt-on acquisition strategy alongside targeted disposals. Now a few key points regarding the full year 2020 results. Despite the revenue shortfall, we continue to generate a relatively solid margin of 13.4%, returning to a significantly higher level in the second half at 16.6%. Adjusted EPS is down a little over one-third to €0.64. Free cash flow is up 7.5% organically. I will come back to the detail of cash flow in a minute. Overall, we continue to improve the balance sheet with net debt down once again by a further €484 million. Turning now to the adjusted operating margin. As you can see on the slide, the decline to 13.4% is largely explained by the drop in organic margin. Overall, this margin shows a revenue drop-through to profitability of around 50% in full year, with 58% in H1 and around 40% in H2, cushioned by strong cost actions. All business activities, apart from Marine & Offshore, posted lower organic margins due to the impact of COVID-19 on the activity. Marine & Offshore delivered 55 basis points of improvement to 21.9% compared to full year 2019. It benefited from the operating leverage as well as operational excellence. Elsewhere, the most affected division margins were those of Consumer Products and Building & Infrastructure due to a sharp revenue shortfall in H1 and with negative mix effect. Together, they represent more than 75% of the organic decline in the group for the full year. Margins recovered as well, pretty well in the second half to 16.6% compared to the 9.8% in H1 as many businesses saw improvements in their operating conditions. Strong margin performance were achieved for both Certification and Consumer Products. Certification achieved 21.6%, as the top line recovery led to a strong operational leverage. And Consumer Products, as I’ve mentioned before, delivered a healthy 25.2%, back to historical high, thanks to significant cost actions. Looking at the operating profit on Slide 20. Much of the increase in depreciation of intangible assets was related to niche offshore platform and commoditize all trade inspection activities. The rationalization of the laboratory network in Consumer Products and Agri-Food & Commodities resulted in asset write-off of €35 million. Actions to lower our fixed cost base resulted in a charge of €26.5 million. These were mainly focused on the Consumer Products and commodities-related activities. For 2021, we expect the restructuring charges to be much lower than in 2020. Net financial expenses increased in the full year of 2020, mainly due to the slight increase of financial charges, due to higher average cost of debt following early debt refinancing. Looking now at the tax rate. The adjusted effective tax rate of the group increased to 36.6% from 33.1% in 2019. This is mainly explained by the weight of taxes that are not directly calculated by reference to taxable income, such as withholding tax and value-added contribution. For the full year 2021, we expect our adjusted ETR to be around 33%. It will benefit from lower corporate tax rate in France, notably, and from improving profits before tax.  Moving now to the increase in free cash flow on Slide 23. The underlying 7.2% organic improvement has been driven by several factors. First, the strong working capital requirement inflow of €149 million, representing a swing of €162 million in the previous period, a combination of our efforts on cash collection at the time of revenue decline. This has been fueled by our action to reduce accounts receivable with a particular focus on past dues. But as well as strict approach to CapEx, as mentioned by Didier, which stood at 1.9% of revenue compared to 2.4% in the full year 2019. We expect this to be in the range of 2.5% to 3% for 2021 as we will restart selectively some projects, which were put on hold during 2020. Looking at our working capital, which is at a record low at the end of 2020.  Our Move For Cash program continued to deliver. We reduced our working capital ratio by 270 basis points from last year to reach 6.1% of group revenue. Looking backwards, since June 2016, our working capital ratio has been reduced by more than half. This reflects optimized invoice to cash process, accelerated billing and cash collection across the group. And beyond, it reflects the culture of working capital discipline is now well entrenched and remains a top priority for the group moving forward. So we closed 2020 with an even stronger financial structure than when we enter in this crisis. The adjusted net debt stood at €1.3 billion, down 27% from December last year.  Our healthy financial profile at the end of the year reflects a strong cash flow of €634 million, disciplined M&A with €18 million spent net of divestment and limited dividend outflow of €32 million. So we closed the year with a leverage ratio of 1.80x, down from 1.87x in December last year. As regards to our debt profile, it has been lengthened to an average maturity of 5.2 years and with no maturity before 2023.  On a side note, I’m particularly proud to share with you that yesterday, we signed an amendment to our €600 million syndicated credit line to introduce ESG criteria with our 14 banks. Through this initiative, Bureau Veritas testified its willingness to combine performance and responsibility. So to sum up, this financial performance has been delivered, thanks to a lot of hard work from all the team across BV in a very challenging environment, and it enables us to come in at the upper end of the scenarios we were working with for 2020.  Our confidence in our financial structures allows us to propose a dividend to shareholders of €0.36 per share for 2020 payable in cash. So this corresponds to a payout ratio of 56% of adjusted attributed net profit. Moving forward, the group expects to propose a dividend of around 50% of its adjusted net profit.  I will now hand over to Didier for the strategic focus. Thank you. 
Didier Michaud-Daniel: Thank you, Francois. Thank you very much. So before sharing with you our outlook for 2021, I would like to focus on the mid- to longer-term with a strategic focus on sustainability. Our 2015-2020 plan is now completed, which was designed to transform the group and to make it more resilient. The 2025 plan builds on the strengths of Bureau Veritas today, which, together with our ability to be extremely reactive with perfect execution, are the cornerstones of our success in the years to come. We have singled out a number of key trends, which will drive tremendous growth opportunities for us looking forward. These are supported by powerful megatrends in the TIC sector. I would like to focus on one of these. Sustainability. Sustainability has become a central factor for most public and private organizations. Most companies around the world are reinforcing their efforts towards improvement in product content, traceability and environmental stewardship. We are a business to business to society services company. We have a crucial role to play in contributing to our clients’ brand protection. Bureau Veritas has a twofold impact on CSR issues, internal and external. Within BV, we have a clear road map. Our ambition is to become the industry leader. Bureau Veritas plays an important role in shaping a world of trust. As an organization that uses natural resources in our labs, in our offices and even remotely, employing 75,000 people in the world, we have the duty to act in a responsible manner for people and tenant. For our commitment to sustainability and through our actions, we contribute to shaping a better world. Our CSR commitment is completely in line with our brand mission. For our clients. We are well advanced with the successful launch of BV Green Line, a suite of services and solutions dedicated to sustainable development across all businesses to maximize synergies. We are getting a strong level of demand from our clients to support them in their goals to become more transparent and gain trust in their CSR commitments. With our expertise, we serve our clients to meet their challenges all along the chain for all sectors of the economy, from resources and production to consumption, during the construction and refurbishment phase of Building & Infrastructure or in the field of transport and, of course, their CSR strategy with regards to employees and all stakeholders. We play a key role improving the impact of our clients’ ESG actions by making them trustable, visible and reliable. These services are being reinforced and expanded to become a fundamental part of BV’s clients’ offering across all our businesses. Let me now focus on some of the growth opportunities related to sustainability. Starting with the role BV is playing in the transition to a low-carbon future. We already support major power players worldwide in the field of energy transition. We have developed one-stop shop solutions regarding renewable synergies for onshore and offshore wind as well as solar. The market is huge and growing fast. The gigawatt capacity for wind energy is forecast to double over the next 10 years and to triple for solar energy. Some countries like the U.K. have announced ambitious targets together with major investment. The U.K. government wants to -- wants offshore wind to produce more than enough electricity to power every home in the country by 2030. Hydrogen. Hydrogen is another fast-growing trend of new sustainable energy. We have developed a comprehensive expertise along the complete hydrogen value chain. We are part of the Hydrogen Council that brings together leading companies with a united vision and long-term ambition for hydrogen to foster the clean energy transition. This is a strong market, a strong market opportunity with more than €300 million of investments forecasted by 2030.  As a leader in this industry, we are a privileged partner to accompany the energy majors with their transition to low-carbon multi-energies. We have a strong expertise on net zero emission, a commitment taken by most all majors by 2050. We also provide services for the sustainability of the supply chain. We supply our -- we help our industry -- small industries and services sector companies to ensure business continuity and better manage risks associated with their portfolios of suppliers spread across different geographies. Looking now at the shipping industry. There is a clear move towards de-carbonization. The regulatory environment is ticking in, in the industry. It has started with IMO 2020, for which we accompanied the ship owners, and this will continue to be reinforced moving forward, notably to reduce CO2 emissions.  Bureau Veritas already ranked number one in LNG fuel ships with a strong expertise in technologically advanced vessels. The trend is accelerating massively with 25% to 30% of the world fleet forecast to be fueled by LNG in 2030 compared to only 5% today. Alongside LNG, we also work on other promising clean fuels such as hydrogen, wind or biofuels. Sustainable supply chain and food certification are key for our society. At Bureau Veritas, we bring trust in the food safety sector. We have, for instance, more than 30 years of experience in supporting clients across the complete seafood supply chain, from fishing vessels and aqua farms through both loading and unloading, processing and distribution. The food safety market is expected to grow high single-digit every year by 2025. New mobility. New mobility is one further pillar of Bureau Veritas Green Line.  In 2020, we developed a complete suite of services dedicated to electrical vehicle charging stations. It covers the full asset life cycle from design, construction and commissioning to operation to ensure the reliability of their network. In 2020, we won several contracts in Europe, U.S. and also in Asia. The market opportunity is, again, huge with a number of chargers expected to be multiplied between 20 and 40 by 2030. Over the next 10 years, the electric vehicle market is forecasted to grow at 30% per annum. Given our leadership position in connectivity solutions, we are perfectly positioned to capture this growth opportunity. These new trends in mobility will support the development of our Consumer Product activity.  The last case I would like to talk about today is sustainability assurance. We are the global leader in the assurance market with decades of worldwide experience. We have developed a comprehensive expertise in sustainability solutions. In 2020, we have accompanied 30,000 clients with sustainability and customized solutions in more than 70 countries. We want to be the sustainability assurance leader in this market, which is developing very fast. What about our CSR 2025 strategic plan? My ambition is to become the CSR leader in the TIC industry. Our CSR strategy is embedded in our mission to shape a world of trust. It aims at shaping a better world and is fully aligned with the United Nations Sustainable Development goals. It is built upon 3 strategic axis: shaping a better workplace, shaping a better environment and shaping better business practices. And 3 sustainability pillars: social and human capital, environment and governance.  To succeed in this goal, we must ensure complete excellence within Bureau Veritas. I would like to highlight a few priorities to deploy our CSR strategy across the organization. For a better workplace first. Health and safety is an absolute. Diversity is key for a global group. They start at the top. And today, we have 4 female members at our Executive Committee out of 11 with significant operating responsibilities. Among them, Catherine Chen, the Head of Consumer Products; and Natalia Shuman, the Head of North America. As far as environment is concerned, as a services company, we will do our part and commit to reducing our CO2 emissions in a meaningful way. Regarding better business practices, ethics is an absolute. We have been awarded 2 2021 sustainability awards by S&P Global, Gold Class and Industry Mover.  For the 2021 outlook now. The group remains uniquely positioned with the diversity, the resilience of its portfolio and its numerous growth opportunities. Based on the current uncertainties around the COVID-19 pandemic and assuming no severe lockdowns in our main countries of operation, we expect to achieve solid organic revenue growth, improve the adjusted operating margin and generate sustained strong cash flow. 2020 has been a challenging year. In this unique context, we demonstrated a very strong resiliency. The work to diversify the group over the past 5 years has proved extremely valuable. I am very confident in the group’s growth opportunities, notably as regards sustainability. I am sure that now all of you have realized the extent of the profound transformation we have implemented. BV is today more diversified, more structured, more inclusive and more digital. Moving forward, with the 2025 strategic plan, we will capitalize on our strength and continue our successful journey of delivering a value-creating strategy for BV. Thank you very much for your attention. Francois and I are now ready to answer your questions on the call or on the webcast.
Operator: [Operator Instructions] And the first question comes from the line of Edward Stanley from Morgan Stanley.
Edward Stanley: I’ve got 3, please. If I were to assume a recovery, I’m aware that Francois said, we’d talk about the consumer division more. So to press that, if I were to assume a recovery in consumer absolute euro revenue in 2021 back to sort of 2017 levels to be conservative, that implies really quite spectacular like-for-like growth. I mean that mid-teens organic growth. So given your guidance for the group, I must be missing there, are you able to quantify how much bankruptcies have permanently removed some revenue from that division, just so we can understand how to model it better? The second question, you say in the text that the sourcing shifts away from China are benefiting you. But what’s your kind of retention rate on businesses that are moving? Is it pretty high? Or is there some leakage to competitors who have bigger or better labs when volume finds its way to Vietnam or Turkey? And is it a market share gain opportunity potentially? And finally, on working capital. You are making good progress before COVID hit, and I presume 2021 might see some unwind of that. But on a 3-year view, where do you think the working capital to sales can get to in your opinion?
Didier Michaud-Daniel: Thank you, Edward, for your questions. So regarding the recovery with CPS, as you know, and it’s a very interesting question, of course, and thank you for asking this question. As you know, we were quite exposed in terms of purely mix because of the trade between the U.S. and China, in particular, because we were extremely close to retailers in the U.S. for a long time. It’s part of the history. So the decision we made already last year, before we even started to have this crisis, was to diversify, to diversify geographically, okay? And we will talk about Southeast Asia. And also to diversify in terms of clients base and to diversify in terms of products. What is very interesting is that CPS has performed very well for long years.  In fact, I took over in 2012 and we are performing every year at a very good level in terms of organic growth, margin and cash flow. But because we were too exposed to U.S.-China relationship, we decided, even before the COVID crisis, to work on this diversification as we did elsewhere in the business. We started by looking at countries and for instance, of course, we decided to amplify our position in China domestic.  The good news is that we have some opportunities because we are a very recognized and appreciated brand in China. This has started already, and we will continue and amplify this diversification to some African countries, to Southeast Asia, to some low-cost countries in Europe. The second part of your question is about Southeast Asia.  Southeast Asia is already a big part of our business. It’s 17%, 1-7, 17% of our CPS business. So we are already in Southeast Asia. And it’s very interesting to see a transfer of the production, in particular, the textile production from China to Southeast Asia. We decided already two years ago, three years ago, in fact, to build some labs in Vietnam, in particular. And we are now performing very well in this country.  So it’s all about strategy for CPS, and it has started to pay off. You could see that along the year, our performance improved. And I’m confident for the future of CPS. I’m very confident. We turned already the margin around in 2020, and we know we’ll come back to the margin we enjoyed in the past. We are not losing any market share. In fact, it’s an opportunity for us to gain some market share. So this is my answer regarding, so there is no problem with the retention rate, Edward.  This is my answer regarding CPS. Maybe Francois, on the working capital, please? 
François Chabas: Yes. Well, I will open up a bit in saying, Edward, before answering directly to your question, that free cash is and remain my obsession. Why is it so? First, because it’s a sign that the company is well managed. We serve our clients. We provide them with variable services, who issue invoices, and those invoices are paid on time. Two, because in those times, this is the best protection against default. We’ve been fortunate so far, we haven’t seen many of them. But as a CFO, I better sleep when I have good cash collection than too many outstanding invoices.  And third, because it makes the company more agile, more agile to pay dividends, more agile to invest. So with this in mind, by any metrics, 2020 has been a very solid year. We talked about it, the lowest level of working cap over revenue for a couple of years. Perhaps the highest level of free cash to revenue, close to 14%. So will it continue? It’s too early to say. And you know as good as me, if we are in a scenario where the growth is back, there would be some erosion. It’s obvious. What will not change, for sure, is our determination to generate very strong free cash in the years to come. Going back to the detail of your question. You may remember when the company was having a working capital ratio of over 10%, I had indicated very early on that my objective was to bring that to 8% by the end of 2021. Obviously, we’re a bit ahead of schedule here. So for 2021, we do not guide on this number. But I would say, with 6% currently and with a strong focus on keeping working capital under control, we expect to continue to deliver very strong numbers by the end of 2021, regardless of the conditions.
Operator: We have our next question coming from the line of Paul Sullivan from Barclays.
Paul Sullivan: Just a question firstly on margin. I don’t know if you can help us and provide a framework for margin evolution this year and a sense of drop-through as revenue recovers and other moving parts. You did over 16% in the second half. Sort of how -- what within that should we expect to reverse out? And is 16% way too optimistic for this year? So that’s the first question. Secondly, your comment on solid. I mean, I said that to be sort of fairly consistent with sort of mid single-digit growth. I don’t know whether you can tell us as well how Q1 is developing given your will have color on January and February? And then just finally, a housekeeping point on finance costs. Any color there?
Didier Michaud-Daniel: Okay. So I’m going to take your second question, Paul, and François will cover the first one and the last one, of course. So we decided to give, of course, a qualitative objective. I mean there is so much uncertainty today that you would have probably think that I’m foolish if I’ve not done so. I mean, so it’s not about predominance. It’s about being smart, understanding and facing the reality. So now, of course, and I do not have the Q1 results. We will discuss the Q1 results at the end of Q1, I mean in April. But when you look, compared to last year, I’m sure you remember, after the Chinese New Year, the situation became very difficult, in particular, in China. So we are going to be off to a good start because the good news for me, and I had Catherine Chen, the Head of Consumer Product division this week, 95% of the people working for us in China are back to work, meaning that today, we know already that compared to last year, and if I remember, it was for 2 months and after there were some consequences probably 2 months after the lockdown, there is no lockdown. So Q1, of course, is going to be a lot better than last year. But again, we are off for a good start. Too early to talk about it. We will debrief Q1 results at the end of Q1. I’m going to let François commenting about the margin and financial costs.
François Chabas: Well, Paul, regarding the margins so H2 margins were good, 16.6%, slightly below the one of last year over the same period, which were around 17.2%. We need to have a look at it by business in simple terms. There is a part, which is catch up. Take Building & Infrastructure, take Certification where a bunch of the inspections or the audit that had to be delivered in H1 have moved to H2 and have contributed to raise the attention rates of our employees to levels, I’m especially thinking about the summertime where usually the activity is somewhat low, has been way higher with good results and good outcome in terms of margins. So it would be too rapid a conclusion to say that this 16.6% can be replicated over the year of 2021, of course. So what we are guiding for and keeping in mind the, let’s say, the uncertainties of the situation around us is that the margin will improve, but not yet back at 2019 level, more in a gradual recovery manner, with positive operating leverage. We’ve discussed about Consumer Products. You’ve seen the impact of the action we’ve taken drastically in H1 and -- to stabilize the margin at a level that we believe is the right one.  So, this will continue. But overall, I think we will benefit from restructuring benefits. We will benefit from catch up, but we remain very cautious regarding, as Didier mentioned, the overall situation, which remains volatile. When it comes to the housekeeping question, thanks for this one, on financial cost. 2020 is -- if you remember, I will come back a little bit in the past, I have taken several actions to reduce the cost of debt of Bureau Veritas and to reduce the debt itself. So when it comes to the quantum of debt, it’s now almost down. We’ve reduced, if you go back to your notes, the net debt of Bureau Veritas by close to €1 billion if you compare to the situation 3 years ago. The cost of debt, we’re still behind 2020. The cost of the refinancing we did well in advance, in November last -- 2019, so before the crisis. And we’ve made several payments, reimbursements this year in H2, notably. And the last one of it being the most important, €500 million were reimbursed on January 15, 2021. So you do not see them in the 2020 December number, the €500 million are still there, but they have been fully reimbursed in January 15, which means that we expect the 2021 finance cost to be well below the one of 2020, reflecting the refinancing exercise we’ve done in 2019 with lower rates and the quantum of debt being materially smaller than the previous years. I think for the housekeeping, that’s all what I have. 
Operator: We have our next question coming from the line of Suhasini Varanasi from Goldman Sachs. 
Suhasini Varanasi: Just one from me, please. In the slides, you’ve given a lot of color on sustainability, how you’ve seen increasing demand on CSR-related activities, green deal, et cetera. Can you give us your views on when you expect these trends to actually add materially to your organic growth? Is it this year? Or is it a little further out, 1, 2 years out? 
Didier Michaud-Daniel: Okay. So thank you very much for your question. In fact, when you think about the sustainability, clearly, we will see a progressive impact. If you think, for instance, about the fact that Europe has decided to put a lot of money with a green deal for the European countries. In fact, France has decided to invest a lot on sustainability programs. You can see already the U.S. moving to more renewables energy, the UK, that was a good example. So we are going to have a progressive impact. After all, it’s interesting for you and probably important for you to know that sustainability is already embedded across all our activities. If you think, for instance, about construction, we are certifying already Green Building. When there is a renovation of building today and the owner wants it to be greener, we are already certifying, of course, the fact that the building is greener. We’re already working on charging stations. It’s a reality today. We won some contracts with wind farms, offshore wind farms, in particular. We are already certifying organic food schemes. So we are already, of course, delivering service, but often not bad. And I’m absolutely convinced that this market is clearly moving extremely fast, meaning that activity by activity. This is the reason why we decided to launch the Green Line.  We are the one capable to provide this service all along the chain, and this is what you -- we want to do. So even if today, we are already -- the sustainability is embedded in our activities, the market becoming bigger and bigger. I did not talk about CSR, but clearly there will be CSR certification. This is absolutely clear. So we are absolutely convinced, and I am absolutely convinced that we have a big role to play on this market, which is, in fact, on all of the markets we are used to work with on the sustainability part.  So from the beginning, meaning from the production, I’m talking about, again, renewables, to the end, meaning the food traceability or the certification of CSR scheme. So clearly -- and my intention is to be a real player, and we’re probably the best place to be a big player in this domain. After all, if you think about it, our strategy, which was launched in 2015 is working very well. So now it’s time for getting incremental growth. And the incremental growth, a part of it will come from these various activities, which are linked to sustainability because there is an acceleration of the client needs. Thank you for your question. It’s a very, very important one. 
Operator: We have our next question coming from the line of Sylvia Barker from JP Morgan. Sylvia, please go ahead.
Sylvia Barker: Good afternoon. Thanks for taking questions. 2 questions, please. Firstly, on Consumer Products. So we talked about the 16% margin overall for the group, probably being lifted by catch-up demand in certain divisions. But Consumer Products probably seems like one where maybe that 25% in the second half can be carried forward into ‘21. Is that the right way to think about it? Then secondly, working capital, just in 2021, how much of that might reverse if you’re growing at just like your consensus, mid-single digits? How should we think about how much of that reverses? And then finally, thank you for the presentation on the more structural growth drivers. I guess if we balance those versus something like Oil & Gas CapEx structurally kind of going away and we think about your margins over your margin mix overall in 3 to 5 years, do you think that, that will be higher than in 2019? Or how are you thinking about that medium term?
Didier Michaud-Daniel: Thank you for your question. I’m going to let Francois answering the last one and the second one. But it’s very important because I decided in 2015 to really transform the group, diversify it and think about the fact that today, compared to what it was in the past, Oil & Gas CapEx was 10% of the revenue of Bureau Veritas. It is down to 3% in the year which is extremely difficult for Oil & Gas. So meaning that we are at the minimum we could have today. And when we are talking about CapEx in this case, it’s more linked, in fact, to OpEx because it’s more or less CapEx maintenance. So we are no more exposed to, what I would call, the oil and gas cycle. Now if you think about CPS, I’m convinced that we can be back first, before the crisis, again, and I think that Francois said it in his presentation, we worked on CPS restructuring. Why? Just because you had a lot of production moving from China to Southeast Asia. So our footprint in China was in terms of number of laboratories was too big. And we decided to restructure it. And we would have done it without the crisis. By this way, of course, we improved the margin along the year last year. Now what we need to do is to invest in new markets to grow, to invest in new geographies. This is what we are going to do. Now if you look at the margin, my conviction is that we will come back to the margin we enjoyed in the past. It’s a little bit too early to talk about 2019, but this is my objective clearly, to be back to this sort of margin. And I’m going to let now Francois answering on the second and third question. Francois?
François Chabas: Yes. To start with working capital. So it’s a bit the same question as I had. So as I have been circling around with that, I can’t give you much more. But we were aiming at 8%. We’ve reached 6%. It’s obviously depending heavily on the top line recovery pattern, especially at year-end, as we are talking about a spot number here. So pretty hard to say. I would say, at the moment, we don’t guide on it. The only guidance we gave is that we will maintain the discipline on working capital. And something I haven’t said in my previous answer is that this working capital improvement remains simply purely driven by self-help, meaning no factoring, no synthetic tools. This is acceleration of cash collection, better contractual terms. And you know as good as me, when you put this type of machine in place, it takes time, takes a lot of efforts, but this is done in a sustainable manner. So obviously, there is a bit of help this year with the revenue going down, and it may reverse somewhat if we manage to confirm the resuming the path of growth. But I would say the fundamentals are here and they are not there to change. And that’s the best I can answer you so far. Coming to the impact on margin of lower Oil & Gas CapEx business versus new sustainable-related businesses. I would say from a pure financial point of view, it’s a non-subject. The Oil & Gas CapEx in terms of size, one, is small right now. It’s around 3% of the revenue.  So margin-wise, it’s even smaller. And if I compare with already what we have today in terms of business, which the drivers are sustainability driven, those businesses are in terms of size in, playing in a complete different league. I mean, simply, we are comparing 3% with a much higher percent there. So I mean, to be very blunt, should the Oil & Gas CapEx business disappear, we’ll not see any much of a material impact. 
Operator: We have our next question coming from the line of Andy Grobler from Credit Suisse. 
Andy Grobler: Just two questions from me, if I may. One, just going back to an earlier question, I wondered in terms of interest cost for this year because it’s been quite volatile over the past few years. I wondered if you could give a bit of quantification to your, to the previous answer where you just said it would be lower? I guess that’s one, assuming normal M&A, you have reasonable visibility on.  And then secondly, and more broadly, on sustainability assurance. Didier, you mentioned that you are the global leader in that market. There’s quite a few different definitions about what exactly goes into that. Could you just give us a bit more detail around what you include within that kind of number 1 position? Where you see the real areas of change through ‘21 over the next 2 to 3 years, would be fantastic? 
Didier Michaud-Daniel: Okay. If I may, I’m going to start with your second question because it’s a very good one, first. Your first one, I missed a little bit, so we’ll come back on it. But on the sustainability assurance, this market is, has already a strong evolution. In fact, each time I’m meeting now a CEO, he’s telling me, Didier, or he’s asking me, "Could you help me, because in the past, I was self declaring the results regarding the CSR KPIs to my Board or to my clients. Now they want these numbers to be certified. They want these numbers to be reliable. They want to be sure that what I am telling the Board is true. Meaning that we need now an independent company like Bureau Veritas to go and check that the commitment I made to my Board or to my clients is achieved."  I could give you a ton of examples, but I’m going to give you a very easy one. For instance, there is a famous aviation company, which is saying each time with the number of CO2 emission, I’m going to plant trees, but we are going to go and check that these trees are planted. Instead of self-declaring, which is the case today, but now the Board, it’s not sufficient for the Board. A second good example could be about the recyclicality of the product. You say I’m going to -- my product is going to be recyclical and 70% is going to be recyclical, and you need to prove it. Meaning that we’ll go in the factories, we’ll check which type of content in the product and so on and so on. So, and, we can see a clear acceleration. And you have some other very travel, example, like the social audits. We do it already, by the way, but it’s accelerating. Some clients are asking us just to go in some manufacturing sites wherever in the world, probably, of course, in Asia, that social rules are respected. So there is a large market which is developing because, for the moment, and up to now, companies were, again, declaring without inspecting, certifying or testing. And this is not sufficient. Today, the Board wants more than that, companies need to prove that what they committed on was achieved. So you can imagine, it’s the reason why I call it sustainability assurance. And in fact, it’s certification program or assurance. But this market is developing very fast. We will have the opportunity in the near future to talk about it because we are going to launch, you will see it, an assurance program on this particular and important topic. The first question, we missed it a little bit with François. You can repeat, please?
Andrew Grobler: Yes, sorry. François mentioned earlier that the interest charge would be well below 2020, this year. I just wondered whether there could be a bit more quantification to what you mean by well below versus ‘20 for 2021?
Didier Michaud-Daniel: François? Sorry, we missed it because of the line.
François Chabas: Yes, the line was not great here. Well, well below meanings, it means, well, somewhat €100 million for sure.
Operator: We have a next question coming from the line of David Roux from Bank of America.
David Roux: I’ve just got 4 from my side. Just to follow up on the question around sustainability. At this stage, are you able to share the percentage of group revenue that could be classified as sustainable according to the EU taxonomy framework? My second question is on 5G. It seems as if this is gaining some momentum and critical mass reading through your commentary. Could you perhaps share with us how much 5G-related activity contributes to group revenue and also the growth rates that you are seeing there? And then thirdly, just to go back to the question around sort of cost reductions, what portion of the cost reductions recognized this year would you expect to come back as group activity recovers? And just lastly, on the exit rate, if you are able to provide some color around the organic growth performance in December? 
Didier Michaud-Daniel: You could answer the last question, François, please? 
François Chabas: So, when it comes to December growth rate, it’s minus 1.2% organically. Just to be clear, minus 1.2% is pure organic decline in the top line. When it comes to your previous question on the -- how much of the cost that we have -- the cost reduction that we have delivered in 2020, how much will stay in 2021 or will be lost, it depends the way you see it. I would say, by and large, two third of the cost reduction is staff-related. So whether it is furlough or any program that would have helped the company to maintain the staff in this chaos, but reduce the cost or reducing headcounts, this represents roughly two third. And here, we have two options. Some of the activities, as we saw already, by the way, in H2, have restarted and then we are more than happy to take the people back from furlough and get them to work or even re-recruit. For example, in France, believe it or not, we even at the moment have difficulty to recruit people.  So, in these geographies, we have re-launched clearly our recruitment programs and then as a consequence, cost will increase but, obviously, on the back of solid top line. In other geographies, and we’ve discussed a lot about Consumer Products, obviously, the restructuring plan, which has been executed in H1 and have paid off materially in H2, these are costs that we -- cost-cutting program that we have designed to be able to sustain a good level of margin in activity which we believe will become -- will stay relatively weaker than before in the beginning of 2021. So two third people related, one third more SG&A. And we’ll have a flexibility, I would say, geography by geography, business by business to re-launch the investment where and if need be. 
Didier Michaud-Daniel: Thank you, François. And coming on your second question, and I will answer the first one just after. On the 5G, I’m sure you know it already, we have labs up and running at full capacity today. So in fact, we have decided with François to invest in ‘21 on having more labs for 5G because we are already full. So there is a second wave of investment. And for instance, today, we have labs in China, in Taiwan, in South Korea regarding 5G. So the momentum, of course, is very good, and we have a lot of demand from our clients. There is another one, which is probably interesting for you to know. We are also testing infrastructure and devices. So meaning that the deployment of 5G for us is an opportunity clearly in terms of revenue. I’m not going to give you the pure detail of the revenue. But I can tell you that for us, it started to be something which is quite significant. By the way, it is reported today in E&E business, in the CPS division. But giving more information for obvious reasons, I’m not going to do it today.  Now regarding the question that you asked about sustainability. But I would like probably to talk more about CSR, in general. It’s more than just sustainability because sustainability is part of it. But if you look at the CSR today in our company, you could imagine that 50% of -- 50% of 60% of our activities today, revenue, is already or could be considered CSR because we are already, as you know, working on safety. And most companies already today are clearly taking safety as a key objective in their CSR policy. This is part of our business, and it has been for a long time. We do already certification scheme on energy optimization and so on. So we looked at our portfolio, and we estimate today that, again, 50% on 60% of our portfolio, because it’s more difficult to measure the other 40%, is already a part of our revenue dedicated to CSR. We can clearly see the growth, potential growth, already starting incremental growth now and for the future. This is absolutely clear.  And this is true for each of our businesses because it’s true for Building & Infrastructure, it’s true for Certification, it’s true for Food and even for industries like more traditional industries. Even longer though, there are some program of decarbonization, as you know, and we are helping our clients by doing audit on fugitive emissions, for instance, to be sure that they are optimizing their footprint regarding CO2 emission. So this is already part of our DNA, but clearly something which is accelerating. And you could see that we launched a lot of new products this year, and we are going to do more in 2021. 
David Roux: That’s very helpful. Perhaps just to follow up on François comments around cost reduction and headcount. Could you perhaps confirm what the movement was in average headcounts on an FTE basis in 2020 when compared to 2019, please? 
François Chabas: Yes, of course. So it’s minus 5%, minus 4000 headcount roughly. And it’s between minus 9%, minus 10% in terms of personnel cost. So 4000 headcount, 5%; personnel cost, minus 9% or 10%, top of my mind. But you can double check the numbers with Laurent Brunelle. 
David Roux: That’s helpful. Thank you very much. 
Operator: Thank you, David. We have our next question coming from the line of Nicolas Tabor from Stifel. Nicolas, please go ahead. 
Nicolas Tabor: Good afternoon. thank you for taking my questions. The first one would be coming back on M&A and your firepower after the -- this year of deleveraging. You have a, let’s say, leverage limit that you can indicate to us? And would you only consider bolt-on acquisition? Or if the right opportunity was presenting itself, could you do bolt-on -- sorry, mid-sized deals? And then as well, I think you mentioned that you would be investing more into 5G. You intend to diversify in Consumer Products. So how much of an increase in CapEx can we expect in 2021 to fuel the rebound in activity? And then going back to Certification segment, could you quantify the impact of Restart your Business with BV and those new products in comparison to the catch-up effect from H1 from what we saw in H2? And how much of that then will mean that the margin will have to go down from the H2 level, as we said that some of the higher margin is due to catch up?
Didier Michaud-Daniel: Restart your Business certification, it’s €30 million revenue. So you could think €30 million revenue is not as much when the company delivers €4.6 billion. But in fact, it’s more important than that because when you look at the detail, in fact, we did it for 5,000 clients. 5,000 clients. And what is interesting to know is that some of them are new clients for us. And we are sure that in the future, we will work with these clients on hygiene, on safety, even on security audits or certifications. And this is happening already. And for instance, we started to work with hotel chains, and they want us now to be their partners in terms of safety or hygiene audits because they want to prove their clients they are at the top level. So €30 million. Okay, €30 million is good to take, but more important, again, we started to work with new clients. On the M&A, clearly, on the M&A, we are going to be extremely disciplined, this is a decision we made in 2015. I’m very happy with all acquisitions we made from 2015. I want to continue on this direction. We will focus on key strategic areas, Building & Infrastructure, Agri-Food, cyber and renewables. This is clear. And of course, we are focusing on 2 countries here, China and the U.S. We will remain extremely disciplined, and we, I like bolt-on acquisitions. I like bolt-on acquisitions. So we will continue clearly on this path. There was also a question on the 5G, on the investment. Francois, CapEx?
François Chabas: Yes. Well, Nicolas, you hit the right button. You have almost done the answer with the question. So I confirm, CPS and food laboratories will be at the core of our investment in 2021. CPS, we discussed about 5G. We’re actually on the third wave to be very precise in terms of investment. The first wave was 2019. We’ve continued through 2020, and we will further invest in 2021. There is as well the diversification. I think I’ve touched upon into my earlier presentation when it comes to CPS, where addressing the Chinese domestic market is for us a very important priority because this is where the growth would be ultimately as well, as well as the geographical diversification. So this will require investment, no doubt. And the second one being food, as I mentioned, it’s laboratory business where CapEx play an important role. In terms of other division, we remain within the usual 0.8% to 1% CapEx insensitivity. So which means all in on, say, if the year 2021 unfold in somewhat of a normal territory in terms of sanitary environment, I would say, around 2.5% up to 3% CapEx intensity for 2021.
Operator: We have a last question coming from the line of Rory McKenzie from UBS. 
Rory McKenzie: I’ll keep it just to one. I just want to ask about the competitive dynamic in these new sustainability-related services. The growth potential is clear, I’m sure, for many people. So do you think you’ll be coming up against new rivals in this space? Do you expect to just be competing against the traditional TIC players like yourself? Would you expect auditors and many other sectors to be providing much more similar services to what you offer in this space?
Didier Michaud-Daniel: It’s a very important question and very intelligent one. Clearly, today, you have some auditing companies, which are defending with our clients, the KPIs. They help the clients to defend the KPIs. What I have noticed is that their issue is that they just cannot provide, what I would call, the inspection or the certification because they are not used to it. And in fact, today, it’s the reason why our clients are coming to us to help them, again, to prove to their Board or to their customers or to their clients that, in fact, what, when they measure the KPIs, what they commit to the Board and what they tell the Board is true.  So in fact, in this case, we could be and we are going to be complementary to big 4 audit terms that sends the CR reports today. We might be, by the way, not systematically, but we might be in some circumstances, even subcontractors of them because, again, there is a lot of people now who are questioning about the reality of what is self-declared. And in this case, of course, Bureau Veritas is extremely well placed to go, inspect and again, with our 75,000 people around the world, which are well-trained on certification and inspection, we’re particularly well placed to deliver this type of service, which is going to be all along the value chain. I have no doubt about it.  Because, for instance, we are working today with a large client who asked me to help him regarding the CSR KPIs measures. In this case, he said, "We want you to do it with all our suppliers." And we are talking about a lot of suppliers, meaning that he is imposing his suppliers to be CSR compliant with the KPIs that they have defined. And our job will be to go and visit the suppliers to be sure that what they committed on or what they declare to our client is reality. So it’s the reason why, clearly, today, we can see a huge opportunity, and this is an accelerating trend.  Again, because clients, final consumers are asking for it, and Board are asking for it. So I can see it’s the reason why I’m absolutely confident that Bureau Veritas is extremely well placed. You imagine we are from the production to the end of the chain, and we can cover all the supply chain regarding sustainability. We are extremely well placed. This is the reason why we decided to launch what we call the Green Line, which are services and solutions, to help our clients to optimize their CSR solutions. Thank you for your question. One final question to close.
Operator: We have our next question coming from the line of Bruno from Bryan Garnier.
Bruno de La Rochebrochard: Just a remaining one from my side. Regarding disposal on nonstrategic activities, what is the total revenue of our businesses to be divested?
Didier Michaud-Daniel: François?
François Chabas: Well, what we said is, over the last 2 years, we’ve divested €65 million of businesses, which were considered nonstrategic, noncore. To be added to this, we’ve closed as well a couple of small underscale operation in a couple of countries. So what we have here? And I think, in these uncertain times, I think what we try and do is to keep some of the lines we started a couple of years ago the same. So on this matter, I reiterate what I’m saying for the last 2 years, that means we don’t have businesses up for sale. What we want is to ensure that if we have a business or a chunk of our business that we believe is not strategic any longer, then we would be looking for an investor to take over this business in the most optimal condition, first, for our employees; and two, obviously, from a financial point of view. So we will never ever say any number. The divestments we’ve made over the last 3 years have been made in all of the cases with a view to protect the employment of our staff, and all of them have been achieved, with that in mind. And, obviously, with the way to maximize the value for the company in terms of assets. And I think that’s the maximum I can say. You see a little bit the size we are talking. It’s a little bit like the bolt-on acquisition, but in a reverse manner. We are doing it in a very, very disciplined manner. Of course, sometimes with an opportunistic approach. But if you have the same action for more than 3 or 4 years in a row, then it starts to matter. And this is really the profile we want to keep, low profile, efficient, constantly looking at the opportunities, but I will not be able to disclose the number.
Didier Michaud-Daniel: Thank you, François. I believe we are at the end of this presentation and this interaction with you. It’s always a pleasure, by the way. And I wish you good afternoon. Bye.
François Chabas: Thank you.